Operator: Please standby, we are about to begin. Hello, and welcome to the Janus International Group First Quarter 2025 Earnings Conference Call. Currently, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator's assistance during the conference, press zero on your telephone keypad. As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Miss Sara Macioch, Senior Director, Investor Relations of Janus International Group. Thank you. You may begin, Miss Macioch.
Sara Macioch: Thank you, Operator. Thank you all for joining our earnings conference call. I am joined today by our Chief Executive Officer, Ramey Jackson, and our Chief Financial Officer, Anselm Wong. We hope that you have seen our earnings release issued this morning. We have also posted a presentation in support of this call which can be found in the Investors section of our website at janusintl.com. Before we begin, I would like to remind you that today's call may include forward-looking statements. Any statements made describing our beliefs, plans, strategies, expectations, projections, and assumptions are forward-looking statements. The company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission which identify the principal risks and uncertainties that could affect our business prospects and future results. We assume no obligation to update publicly any forward-looking statements, and any forward-looking statement made by us during this call is based only on information currently available to us and speaks only as of the date when it is made. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margin, adjusted net income, and adjusted EPS. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. On today's call, Ramey will provide an overview of our business, Anselm will continue with a discussion of our financial results and 2025 guidance before Ramey shares some closing thoughts and we open up the call for your questions. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, Sara, and good morning, everyone. Thank you all for joining us today. I am pleased with our start to 2025 with results mostly in line with our expectations despite ongoing macroeconomic volatility. Our team continues to execute well in this challenging environment, maintaining our focus on operational excellence and disciplined capital allocation while positioning the business for long-term success. The strength of our business model has enabled us to navigate these headwinds effectively while continuing to invest in the future. With that, let me start by highlighting a few key themes related to our first quarter results. First, despite ongoing market uncertainty, we are seeing growth in our backlog and continued stability in our pipeline. Second, we are making progress on our cost reduction plan, which is yielding tangible benefits. And finally, we believe we are well-positioned to navigate the current tariff environment. For the first quarter of 2025, we delivered revenue of $210.5 million, down 17.3% compared to the first quarter of 2024. Total self-storage saw a decrease of 23.1% given a decline in volume associated with the uncertainty in the economic and interest rate environment. Our commercial and other sales channels saw a decrease driven by softness in the rolling sheet door market, partially offset by a contribution from our TMC acquisition completed last May. Our Noke Smart Entry system continues to gain traction in the market, with 384,000 installed units at quarter-end representing sequential growth of 5.2%. We are excited about the momentum we are building in this business and see opportunities for further growth as customer adoption of Noke Ion continues in 2025. While customers remain cautious about their liquidity and capital deployment in the current environment, we are confident in the underlying demand for self-storage solutions. The restructuring initiatives we implemented in 2024 are progressing well, with our structural cost reduction plan on track to deliver approximately $10 million to $12 million in annual pretax cost savings by the end of 2025. These actions are designed to improve margins, simplify our organizational structure, and enhance our operational efficiencies. From a financial standpoint, we continue to demonstrate the resilience of our business model. Our excellent cash flow generation and balance sheet have provided us the financial flexibility to make a voluntary prepayment of $40 million on our first lien term loan and repurchase 600,000 shares for $5.1 million under our share repurchase program during the quarter. At quarter-end, we had $16.3 million remaining on our share repurchase authorization. I would like to take a moment to address tariffs and the potential expense impacts to Janus International Group. While the bulk of our steel and material inputs are sourced domestically, we do have some exposure to components sourced from areas that we expect will be impacted by tariffs. We have dual sources for many of our components, which coupled with our inventory on hand allows us to mitigate much of our exposure to tariffs in 2025. At this time, we estimate the total potential expense impact related to tariffs for 2025 to be in the low single-digit millions. At the current expected tariff rates beyond 2025, we estimate the potential ongoing annual impacts to be in the range of $10 million to $12 million. We anticipate that our productivity and commercial actions will provide a mitigating effect against these impacts. As we look ahead, we remain confident in the long-term fundamentals of our business. We expect the self-storage industry to continue to benefit from strong underlying demand drivers and believe there is significant opportunity for our R3 business. As consolidation across the self-storage industry, coupled with the average facility age exceeding twenty years, will lead customers to focus their capital allocation on existing properties. As an industry leader in self-storage solutions, our strong balance sheet, exceptional cash flow generation, and suite of innovative offerings position us well to deliver attractive long-term shareholder value. Now I will turn the call over to Anselm for a detailed review of our financial results and updates to our 2025 guidance. Anselm?
Anselm Wong: Thanks, Ramey, and good morning, everyone. As Ramey highlighted, we continue to navigate a challenging macroeconomic environment and are pleased to deliver results that were largely in line with our expectations. In the first quarter, consolidated revenue of $210.5 million was 17.3% lower as compared to the prior year quarter, with declines in all three sales channels. Together, our self-storage business was down 23.1%, new construction was down 25.5%, while R3 was off 19.3% for the quarter. The decline in revenues for new construction was almost entirely due to a decline in volume associated with macroeconomic uncertainty and sustained high interest rates impacting liquidity, causing some customers to adjust project timing. The R3 decline was driven by nearly a 50% decrease in retail big conversions and facility expansion activity, partially offset by increases in door replacement and renovation activity. For the quarter, the impact to organic revenues was driven roughly 10% by price and 90% by volume. In the first quarter, the international segment saw total revenues increase by $500,000 or 44.2% compared to the prior year. The change is attributable to increased volumes as a result of normalizing local market conditions compared to the prior year, which was negatively affected by the UK recessionary period starting late fiscal 2023 and impacting most of fiscal 2024. Due to the international businesses' lower margin profile, this had a negative impact on the company's overall adjusted EBITDA margin. Our commercial and other segments saw a 1% decline in the first quarter driven by market softness for rolling sheet doors, largely offset by contribution from the TMC acquisition. First quarter adjusted EBITDA of $38.4 million was down 42.1% compared to the first quarter of 2024. This resulted in an adjusted EBITDA margin of 18.2%, a decrease of approximately 790 basis points from the prior year period. The decrease in profitability was due to lower volumes impacting our ability to leverage fixed costs, as well as impacts of geographic segment and sales channel mix. In the quarter, we realized approximately $1.5 million in savings associated with the previously announced cost reduction program, and we expect to realize approximately $10 million to $12 million in annual pretax cost savings by the end of 2025. For the first quarter, we produced adjusted net income of $17.7 million, a decrease of 51.6% from the prior year, and adjusted EPS of 13¢. We generated cash from operating activities of $48.3 million and free cash flow of $41.9 million in the quarter. On a trailing twelve-month basis, this represents a free cash flow conversion of adjusted net income of 170%. Capital expenditures in the quarter were $6.4 million. We finished the quarter with $217.1 million in total liquidity, including $140.8 million of cash and equivalents on the balance sheet. Our total outstanding long-term debt at quarter-end was $557 million, and net leverage was 2.3 times, well within our target range of two to three times. Aided by our strong balance sheet and cash position to start the year, and consistent with our capital allocation priorities during the quarter, we repurchased 600,000 shares for $5.1 million as part of our $100 million share repurchase program. At quarter-end, the company had $16.3 million remaining on its share repurchase authorization. We also made a voluntary prepayment of $40 million on our first lien term loan, which will lower our overall interest expense for the year by an estimated $2.2 million. The annualized impact is expected to be $2.7 million. Now moving to our 2025 guidance. Based on our first quarter results, current visibility into our end markets, and current expectations of the direct impacts from tariffs, we are reaffirming our full-year guidance for revenues and adjusted EBITDA. We continue to expect revenues to be in the range of $800 million to $890 million and adjusted EBITDA to be in the range of $175 million to $195 million.
Ramey Jackson: Reflecting an adjusted EBITDA margin of 21.1% at the midpoint. As we look at the cadence of results for the year, we reiterate our expectation for results to strengthen in the back half of 2025. Additionally, as the year progresses, we expect our customers to begin shifting their focus towards R3 initiatives as facility owners focus more on optimizing and upgrading existing properties over new construction. As a reminder, the margin profiles for new construction and R3 are similar, so we are agnostic about moves between the two sales channels. New construction is expected to remain soft in the first half of the year as we work through customers' extended project timelines. We continue to anticipate being near the higher end of the free cash flow conversion of adjusted net income target range of 75% to 100% in 2025. Please refer to the presentation we have posted for additional details on our key planning and expectations for 2025. Thank you. I will now turn the call over to Ramey for his closing remarks. Ramey?
Ramey Jackson: Thank you again, Anselm. Despite the challenges we faced in the first quarter, I am encouraged by the positive signals we are seeing in our business, including growth in our backlog and the continued stability of our pipeline. While the broader market environment remains in flux, our strong balance sheet and cash flow generation give us significant flexibility and optionality to continue investing in our business while seeking out and delivering accretive shareholder value-enhancing opportunities. The strategic alignment and resilience of our business model are reflected in our reaffirmed 2025 guidance. We believe we are well-positioned to deliver long-term value for all stakeholders. A big thank you to our employees, customers, and shareholders for your continued support. Again, thank you for joining us. Operator, we can now open up the lines for Q&A.
Operator: You may remove yourself from the queue at any time by pressing star two. Once again, that is star one to ask a question. We will take our first question from Jeff Hammond with KeyBanc. Please go ahead.
Jeff Hammond: Hey. Good morning, guys. Morning, Jeff. So you know, just listening to the public self-storage REITs, it seems like fundamentals are stabilizing or maybe moving a little off the bottom. I know rates are still stubborn, but just wondering, one, what is the latest that you are seeing on the pacing of some of these project delays starting to break free and move through the backlog? And two, just how would you characterize order activity in the pipeline behind it?
Ramey Jackson: Yeah. It is a great question, Jeff. We are seeing the move like we saw in Q4 that projects are moving in the pipeline. Unfortunately, still some of the stubborn rates that you mentioned. In terms of pipeline and backlog, we are seeing just a steady small growth in both of those categories as well. So I think it is a pretty good indication that stuff is moving.
Anselm Wong: Yeah. Just to add to that, Jeff, there is no question. We were looking at kind of the churn rates kind of pre-pandemic around three hundred days, they are currently sitting around five hundred days, so there is no question that it has maintained. You know, it has been pushed out and seems to be fairly consistent moving forward.
Jeff Hammond: And just pipeline?
Ramey Jackson: Yeah. Both orders and pipeline have been on an uptick since the beginning of the year. Super happy with where we are there, and it continues to grow.
Jeff Hammond: Okay. And then just on appreciate the color on tariffs. Just on price, I think in your guide, you were originally saying, I think price down high single digits. It was only 2% down in one Q, and then you know, I am assuming you are probably seeing some steel inflation, some of the tariff inflation. So I am just wondering how you are thinking about price downs relative to you know, ninety days ago? And then, you know, just is the offset you know, lower volumes or maybe that is an upside situation?
Anselm Wong: Yeah. No. Hey, Jeff. When you think about the pricing, we get any uses for the full year, and we said it would blend into the year as we bleed off some of the older projects and some of the newer ones. That is why Q1 was not as impacted as much from a pricing point of view.
Jeff Hammond: Okay. And then just real quick on the tariff number. Just help me understand the low single-digit million this year versus you know, the $10 million to $12 million, you know, kind of on a full-year run rate?
Anselm Wong: Yeah. If you think about it, like, we have a as you know, how we buy our inventory, we have a decent amount of inventory already for the year. So it is not as you are not getting a full-year impact for that. So when we actually looked at kind of our inventory positions as well as some of our mitigating actions, that is kind of how we got down to a much smaller impact for 2025. And if you look into next year on an annualized basis, that $12 million there is if there are no mitigation actions at all and obviously, with our normal process in terms of sourcing things, we are currently looking at renegotiating some of those items as well as looking at other sources in addition to just general productivity to mitigate that for 2026.
Jeff Hammond: Okay. Thanks.
Operator: Thanks, Jeff. We will go next to Phil Ng with Jefferies. Please go ahead.
Phil Ng: Hey, guys. I guess, follow-up on that question on pricing. Certainly better than expected, maybe that is timing and that is just going to kick in a little more fully in the coming quarters. But help us kind of think through what you are seeing on the pricing front. Certainly, steel prices have moved up. You have some level of hedging. Maybe that is helpful. But, is that an opportunity for pricing to get better perhaps in the back half or maybe an opportunity to kind of pick up some share just given your competitors, your smaller competitors are probably a little less equipped to kind of navigate through some of the supply challenges and certainly tariffs as well?
Anselm Wong: Yes, so it is a great question, Phil. It is like, I think if you look at it from a price point, there is a bit of timing, like you said. That is why the impact is not as much. Think if you look at steel, I think the suppliers have tried to kind of raise the price and I think, it is going to be dictated by real demand. The demand has not been there. And that is why you see a fallback to a lower level than what the initial indication was. So it will be look, like, we have always said about with our steel, we have got a good process how we buy it. And we are managing it. If it does, you know, step up, at the end of the year, we have the ability to put in commercial actions to mitigate if we need to.
Phil Ng: Okay. That is great color. And then on the R3 side of things, a few things. Right? I mean, the retail conversions, has been a drag. When does that comp out? And then, you know, I think, Ramey, your comments suggested that perhaps some of your customers are pivoting from new construction to R3. Any, like, real tangible signs that kind of come through in the back half or later this year, based on orders and bidding? How does that kind of ripple through? And any color on some of the rebranding efforts that is out there from some of your larger institutional customers?
Anselm Wong: Yeah. So you are right. I think it is getting really low, the retail conversion piece of it. We have always said that there will always be some amount of it, but you are right. That is kind of why you saw the negative in terms of R3 slow up much better this quarter. And what I would expect going forward is that it will be at a steady state there because of retail conversion. I think Ramey probably just can address the other question in terms of kind of what we are seeing. But I can tell you, when we are looking at our backlog right now, we are starting to see incremental increases in that R3 piece where our customers are starting to put more projects of R3. And, honestly, they come in very size, but we are starting to see that starting to increase.
Ramey Jackson: Yeah. Just to follow-up, specifically on the rebranding, that opportunity is well underway. We are obviously partnering with our customers to accommodate that. And so that is you have heard me talk about that. That is a multiyear opportunity. Specifically on the large one that you know of. And to Anselm's point, we are seeing others more instant operators accelerate that. By way of remix, full renovations, a little bit of expansion, and then office upgrades. So that has been a pleasant surprise in terms of the way that they are allocating capital. I will say on the non-institutional side of the business, they are pretty much on the sidelines from any CapEx expenditure at this time.
Phil Ng: And, Ramey, any color on how this kind of ramps up? Backlog is getting better on our R3s break, but how does that kind of ripple through? Does that dial up in the back half or this is more of a 26 event?
Ramey Jackson: Oh, it does. It certainly dials up in the back half. As you know, you know, these are projects that we have been working on for a while. Have great visibility the way the R3 program works. I mean, there are touch points all throughout the process. So we are super comfortable with the timing because we play a big part in that in terms of tenant notification and just the project management side of it. So our expectation is it will certainly accelerate in the second half.
Phil Ng: Appreciate the color.
Operator: We will go next to Dan Moore with CJS Securities.
Will: Hi. This is Will on for Dan. Last quarter, you started to see signs of stabilization in commercial. Has that continued? Or is tariff and economic uncertainty impacted that momentum?
Ramey Jackson: Yes. It certainly has stabilized. We are seeing some growth in certain product lines. Some opportunity in the carport and shed as we have, you know, previously announced. We positioned a door center kind of in the hub of where that product line is manufactured. So we are taking aggressive steps to gain share there. I would say the only thing that is relatively flat and it kind of came through on our numbers this quarter would be the commercial sheet door. Which is typically, you know, its application is in metal buildings. So as you probably know, that sector is depressed. I would say, probably at a bottom right now. So any movement upward, you know, we will certainly get the benefit of that moving forward.
Will: Thank you. And then in self-storage, a lot of small and midsized customers started delaying projects for as long as a year ago. Of those projects that have been on the shelf for six, nine months or longer, are you starting to see more cancellations? Or conversely, are you starting to see more start to move forward?
Ramey Jackson: Yeah. We are starting to see more starts move forward. That is the best way to, you know, to think about it. In terms of cancellations, we have not seen anything out of the ordinary from cancellations of the backlog.
Will: Thank you.
Anselm Wong: Thank you.
Operator: We will go next to John Lovallo with UBS.
John Lovallo: Good morning, guys. Thanks for taking my questions as well. The $10 million to $12 million of pretax cost savings from structural cost reduction still remains in place. You guys realized about $1 million in the first quarter. How should we sort of think of the cadence of those savings through the year? And what are some of the projects that are going to allow you to kind of drive those savings?
Anselm Wong: Sure. Thanks for the question, John. If you think about the cadence, we should probably be at a full run rate at the end of Q2 for those savings. There are various items, you know, obviously, in our cost of goods sold and just resetting our labor force for the volume that we are delivering. And then also in our G&A lines, that we do in some leases that we no longer need. So on pace there, and there is opportunity for incremental that we are seeing as we work through them as well.
John Lovallo: Got it. And then, you know, on the Noke Ion units, 384,000, I think that is up about 5%, sequentially. Which is good. But it seems like the growth is kind of moderated a bit over the past few quarters. How are you kind of thinking about it through the remainder of the year and sort of the longer-term adoption?
Anselm Wong: Yeah. I think it is still going pretty strong for the new Procnoci Ion. I think as we always talked about is as the install base gets bigger, then obviously, the sequential growth is going to get a bit small because you got a much larger base. But I think we are still bullish on the opportunity for the rest of the year and going into next year because the new product is really hitting a lot of the expectation with the customers we are looking for.
John Lovallo: Fantastic. Thank you, guys.
Anselm Wong: Thanks, Ed.
Operator: This does conclude today's question and answer session. I will now turn the program back over to Ramey for any additional or closing remarks.
Ramey Jackson: Thank you, everyone, for joining us today. We appreciate your support of Janus International Group and look forward to updating you on our progress. Have a great day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.